Operator: Ladies and gentlemen, thank you for standing by. Welcome, and thank you for joining the adidas AG Second Quarter 2022 Conference Call. Throughout today’s recorded presentation, all participants will be in a listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Sebastian Steffen, Head of Investor Relations. Please go ahead.
Sebastian Steffen: Thanks very much, Stuart, and good evening, good afternoon, good morning, everyone, wherever you’re joining us virtually today, and welcome to our Q2 2022 results conference call. Our presenters today are our CEO, Kasper Rorsted; and our CFO, Harm Ohlmeyer. As always, we will kick it off in a second with their prepared remarks, and we will have enough time afterwards for your questions. Again, as always, I would like to ask you that during the Q&A session, you limit your initial questions to two to allow as many people as possible to ask their questions. And with that, over to you, Kasper.
Kasper Rorsted: Thank you very much, Sebastian. First, I'll recap our business development in the second quarter, and then Harm will provide you with details on our financial performance. And at the end, Harm and I will discuss the outlook. We continue to face heightened uncertainty as we still operate in a very dynamic environment with several external challenges. The devastating war in Ukraine and elevated inflationary pressure continue to leave their market on an accounting activity around the globe, weighing on consumer spending across several categories. So far, we have not experienced a meaningful slowdown in the sell-through of our products. We have also not experienced significant cancellations of wholesale orders in any other markets in Greater China, but we clearly need to be prepared that this might change as the year progresses. In China, we are still confronted with a challenging market environment characterized by continued widespread COVID-19-related lockdowns and restrictions. In these uncertain times, together with our strong team here in Herzo and in all our markets, we remain diligently focused on all levels we can control in order to cope with the market backdrop. Let me be clear, this is a time where the strength of our brand makes a difference. With this in mind and the consumer at the heart of everything we do, we're convinced that we have the right building blocks in place to drive a significant top line acceleration in the second half of the year. Harm and I will talk more in detail about the drivers and the shape of this acceleration later. Upfront, let me briefly provide you with my key takeaways before I share a detailed Q2 business update. Our strong momentum in Western market continued on the back of a successful product launches and brand strength in North America, EMEA and Latin America. As we also returned to growth in Asia-Pacific, these four markets, which represent more than 85% of the business combined, grew at double-digit rate in Q2. You will see it in our second -- in a second that we remain dedicated on driving product innovation and the conversion of our strong pipeline, always focused on the consumer. This, together with the support from major sporting wins such as the FIFA World Cup, the restocking opportunity with our strategic wholesale partners, given uncertainty supply as well as easier prior year comparables, will enable us to drive an acceleration of the top line growth and deliver our adjusted 2022 target. Let me be clear, we are thoroughly managing the short-term industry-wide challenges in an agile way while going after the long-term opportunities and structural growth drivers the sporting goods sector has to offer. I just said it, the consumer remains at the heart of everything we do. Q2 saw several -- saw multiple consumer highlights across both performance and lifestyle. The latest iterations of both Supernova and Solar Glide franchises drove strong growth in running, specifically at price points below €100, as we broaden our range offer for the everyday athletes on the back of continued wins at the world's leading race events. In football, we are capitalizing on the excitement building up to the FIFA World Cup. The official match ball, Al Rihla is already known all over the globe, while latest footwear launches such as [indiscernible], Predator Mania sell out in less than two days. In training, we introduced a high-performance yoga collection made in part with Parley Ocean Plastic. And moving to lifestyle, we launched our first sportswear capsule collection with extremely positive consumer feedback. In lifestyle footwear, our former franchise doubled in size, while YEEZY continues to be up strong double-digits. Finally, high products in collaboration with our premium partnerships such as the adidas Gucci Gazelle or adidas [indiscernible] just secured a top spot in the renowned list last index of hottest fashion brands. Let me now share the progress in our strategic focus areas, starting with credibility. Football is essential to our performance DNA, and the win of titles on the world's biggest stage crucial to drive brand credibility. Together with millions of fans around the globe, we celebrated Real Madrid's clenching its fifth Championship title in the past 10 years. What an achievement for our long-standing partner. At the same time, we're also sharpening our edge in lifestyle and continue to premiumize our offer by leveraging fashion partnerships. Following the adidas Gucci Hype our collaboration with Balenciaga made its debut on the trading floor of New York Stock Exchange, and we're excited about everything that is yet to come. Moving on to experience. We've always said that membership is the golden ticket to our brand. It grants access to exclusive events and experiences money can't buy. That's exactly the kind of experience our adiClub members were able to enjoy at major events such as the Champions League Final in Paris or the Coachella Festival in California. In addition, we're taking the physical consumer experience to the next level in our own retail fleet. The new Madero Brand Center in Mexico City or selected adidas Gucci pub of stores in several of our key cities are strong proof points. And closing with sustainability. In sustainability, we continue to scale our Run for the Oceans. This year, we have almost 7 million people globally participating at our headline event to end plastic waste. Sustainability dedicated activations in our retail stores ensure we keep consumers consistently engage for good cause day by day. Now, turning to the strengths and weaknesses for the second quarter. We saw continued momentum in Western markets, with strong net sales growth in North America with 21%; EMEA with 7% or 13%, excluding Russia; and Latin America with 37%. At the same time, Asia-Pacific returned to growth, as expected, with revenue up to 3% plus compared to a minus 16% in the first quarter. The strong sell-through of our products drove double-digit growth in e-com of 13%. In the performance category, product innovation drove strong growth, with double-digit increase in football with 22%; running with 17%; and outdoor with 14%. Unfortunately, macroeconomic constraints continue to limit our topline growth, with supply chain constraints in Russia/CIS posting a drag of more than €300 million to net sales in the second quarter; EMEA and North America being particularly affected here. In Greater China, sales declined in line with Q1 rate at minus 35% as COVID-19-related restrictions continued to weigh on traffic in revenues. Higher supply chain costs and unfavorable market mix due to the strong net sales decline in China kept our gross margin recovery muted. Harm will give you more details in a couple of minutes. Ultimately, we continued our operating overhead investments into digital capabilities, our DTC business in China with the respective costs weighing on our operating margin development. Let me discuss our Q2 P&L developments. Revenue increased 4% currency-neutral, while being up 10% in euro terms, despite a negative effect of more than €300 million due to macroeconomic constraints. Significant better pricing mix was more than offset by higher supply chain costs and unfavorable market mix, bringing our gross margin down to 50.3%. Our operating profit came in at €392 million, reflecting additional investments in current and future growth areas both in marketing and overheads. Net income from continued operations was down during the quarter as a result of the pressure gross margin and additional investments just mentioned. Again, Harm will comment in detail on major P&L developments shortly. Greater China. I just said it, sales in Greater China continued to be pressured by COVID-19-related restrictions, and we'll take a closer look on the situation later in this presentation. On the bright side, e-commerce posted double-digit growth as we're accelerating our efforts to build local and direct connections with the Chinese consumer. Overall, our sellout in China was significantly better than the overall revenue number suggested as also evidenced in the minus 18% decline in our DTC business. This reflects the robust underlying demand for our products as well as our cautious approach to managing inventory in the channel. In North America, we achieved strong double-digit growth in DTC plus 23% and wholesale plus 20%, underlying how well our new product launches resonate with the consumer and the progress we're making in taking share within our key accounts. From a category standpoint, the growth is also evenly divided double-digit between lifestyle of 19% and performance of 23%. EMEA also saw strong underlying growth of 13%, excluding the negative impact from Russia and CIS. To make clear what I mentioned before, with Asia-Pacific returning to growth, the four markets, which, combined, represent more than 85% of our business, grew at double-digit rate in Q2. EMEA, North America, Latin America and Asia-Pacific together increased plus 14% in the second quarter. This clearly shows that nowadays, our brand and products resonate extremely well with the consumer. Turning to our strategic growth channels. The introduction of new products and elevated experiences across all physical and digital consumer touch points drove DTC growth of 4%, with double-digit increases in North America, Latin America and Asia Pacific. Excluding the negative impact from Russia/CIS, DTC sales in EMEA and for the company as a whole would also have been up double-digits. E-com increased 13% driven by the exceptional increases in North America by 33%. In addition, Greater China grew 12% and Latin America grew 15%, so also posting double-digit growth. As you know, membership remains key to our DTC first mindset, and adiClub continues to expand with now more than 270 million members globally. The new value proposition, dedicated member weeks and further go-lives, in addition, countries drive continued strong progress with our most valuable consumers. From a category standpoint, football continued on its excellent growth trajectory with a growth of more than 20% as we leverage the consumer excitement around major events such as the UEFA, Women's EURO or the FIFA World Cup later this year. Together with our strong portfolio apartments, we continuously launch new products such as match balls, iterations key footwear franchises, the Predator X and the Copa and official jerseys to keep our consumers engaged on and off the pitch. In addition, both running and outdoor posted double-digit growth, with technical product innovations such as the adizero or Adios Pro 3 or Aquavik Ultra 2 driving credibility professionals and everyday athletes alike. Within lifestyle, the introduction of sportswear now complements our offer as we launched the first capsule collection with strong consumer feedback. Moreover, basketball drove significant growth in Originals. With that, I would like to hand over to Harm, who will provide you details on our financials before I'll be back later with exciting product releases and the outlook.
Harm Ohlmeyer: Thanks, Kasper, and warm welcome from my side. Good morning, good afternoon. So, as always, let's start by having a closer look at the development of our markets. We continue to see strong momentum in all Western markets, which is clearly reflected in the 21% and 37% growth in North and Latin America, respectively. In EMEA, the strong underlying performance is masked by the sales decline in Russia/CIS. If adjusted for this effect, growth in the region would have been 13% in Q2. Increasing our market share within our key accounts has definitely been an important part of our growth story in North America and EMEA, but the majority of the growth in these two markets is driven by our own D2C business, which grew 23% in North America and plus 22% in EMEA, excluding Russia/CIS. This shows a strong sell-through of our product and is proof for the momentum that we've been building in these markets. In addition to the strong development in the Western markets, Asia-Pacific returned to growth in the second quarter with 3% currency neutral growth, and we expect this growth to accelerate significantly in the second half of the year. Combined, these four markets grew 14%, and this despite the €300 million headwinds we have been facing during the quarter. And it's not only the topline development in these markets that is worth being called out. The bottom-line performance is equally impressive. For the first time, all of these four markets have delivered an operating margin of more than 20%. This clearly shows the progress we have been making, particularly in North America. In contrast, the challenging market environment as well as COVID-19-related lockdowns continue to weigh on our sales and profitability in Greater China. While the 35% sales decline was in line with our expectations going into the quarter, it was significantly worse than planned for at the beginning of the year. Despite this revenue shortfall, we decided to continue to invest in the market as we remain committed to China and convinced about its potential for the years to come. This has clearly left its mark on the profitability in the market in the short-term. Moving over to the company P&L. As promised, we returned to growth in the second quarter with currency-neutral net sales being up 4%. In reported terms, revenues increased 10%, reflecting the significant positive translation effect in the quarter. Our gross margin declined 1.5 percentage points to 50.3%. I will provide more details on the development and drivers on the next slide. Other operating expenses increased 19% to €2.5 billion, reflecting our continuous investment into D2C and digital as well as into the launch of new products and campaigns around major events. Consequently, marketing and point-of-sale expenses were up 8% compared to the prior year period. While operating overheads increased 23%, I will elaborate on these two line items a bit later in more detail. Our operating profit declined 28% to €392 million. This number includes other operating income of around €45 million from Reebok. As a reminder, we expect roughly 70% of last year's stranded costs to be eliminated this year. Our operating margin decreased 3.7 percentage points to 7% in the quarter. Net income from continuing operations for €360 million supported by a one-time tax benefit of more than €100 million, due to the reversal of a prior year provision. Let's now have a closer look at the gross margin. As mentioned before, I would like to explain the main drivers of the gross margin development in the second quarter and into the second half. On the negative side, an unfavorable mix effect mainly driven by the significant sales decline in China weighed on the margin development in Q2. In addition, we once again saw a large adverse impact from higher sourcing costs as well as increased freight rates and duties on gross margin. While the movement of foreign exchange rates has a slightly positive effect on our margin development in Q2, pricing had a significantly more pronounced impact. While not yet able to fully compensate the higher sourcing costs, the low level of promotional activity, our selective price increases on DTC exclusives as well as an overall more favorable pricing structure led to a 10% increase in our ASPs during the quarter. This basically means that our top line growth in the quarter was achieved through better pricing alone, whereas volumes declined at a mid-single-digit rate. Let's turn to the second half view. You will see that we expect to have an even bigger impact from pricing in the back half of the year. Let us start with sourcing first. As mentioned several times in the past, supply chain cost will rise strongly in fiscal year 2022. This was confirmed in H1, and we expect this development to continue throughout the remainder of the year. When it comes to the overall mix impact, we experienced a significant drag on the gross margin due to the less favorable market and channel mix in the first half of 2022, reflecting the significant sales decline in Greater China as well as tough prior year comparables in e-commerce. In contrast to our previous expectations in May, we focus this development to continue as we are no longer expecting sales in China to recover in the second half. Our continued focus on DTC will not be able to offset this development. Third, on FX. After a slightly positive effect in H1, we will benefit from somewhat more favorable hedging rates during the remainder of the year, but some of this will be compensated by the impact of exchange rate fluctuations on the unhedged portion, we still expect a positive FX impact in H2 as well. Fourth, on pricing. As previously mentioned, we had already implemented first price increase on DTC exclusives in H1 and saw the consumer responding very well to it. In the second half of 2022, we will see broad-based price increases at a mid- to high single-digit rate on average. Therefore, for fiscal year 2022 in total, we expect a significant positive impact from price increases on our gross margin development. And lastly, on discounting. In the first six months of the year, we saw very limited promotional activities. For the second half, we are expecting an increase in discounting both for us and the industry overall. As for the first time in a long time, supply will not be constrained anymore. We expect promotional activity to be particularly pronounced in Greater China, reflecting initiatives to clear excess inventory in the market. In addition, our adjusted gross margin guidance for the year also takes into account higher discounting in other markets as a result of the potential slowdown in consumer spending in the second half. Moving down the P&L a bit further. Our marketing spend increased 8% in the quarter. This increase reflects investment into the launch of new products such as our completely new sportswear collection, the next iteration of our successful Super Nova running franchise, the first drops raised to our Gucci and Balenciaga collaborations, just to name a few examples. In addition, we further invested in campaigns around major events like Run for the Oceans or the Women's European Football Championship, increasing credibility with consumers across the entire spectrum. Our operating overhead expenses increased 23% versus the prior year period. Roughly one-fourth of this increase was related to unfavorable currency movements. The vast majority of the remainder reflects investments that are directly linked to the priorities outlined in our strategy. If you want to own the game, we need to continue to invest in initiatives that will help us to strengthen the foundation for future growth. Be it improvements to our own retail network, additional logistics costs, reflecting the growth of our e-commerce business or further strengthening our digital infrastructure. We operate in an industry that rewards scale and we will continue to leverage our size to strengthen our competitive positioning. Own the Game is a growth and investment strategy and we will not jeopardize long-term growth for short-term profit optimization. This is also the reason why we continue to invest in Greater China. We couldn't have grown e-commerce by 12% in the quarter if we had not been investing into our brand and infrastructure. We are committed to China and convinced about the long-term opportunity in the market. Having said that, of course, we will keep an eye on our investments overall, especially in current times that are characterized by severe macroeconomic challenges. Now, turning to the balance sheet. Last quarter when inventories were up just 12%, I said that I would like to see a stronger increase here. Now, inventories are up 28% currency-neutral. We will need most of this product to fulfill the strong demand we are seeing in our Western markets as well as in Asia-Pacific. As you know, we were still somewhat supply constrained in Q2, but we have all the products we need now to cater for the growth ambition in the second half. In addition, given the still significantly longer lead-times, we are ordering our products earlier to ensure it is available in our markets when it's needed, for example, right in time for the back-to-school season. As a result, we are still having a significantly higher share of inventory in transit, which is responsible for about a third of the inventory increase. And lastly, the lockdowns in China and our cautious approach to inventory management reduced talent and higher take-backs have also contributed to the inventory increase. Kasper will elaborate on this in more detail in the outlook section. Receivables increased 22% currency-neutral, reflecting the continued strong demand and revenue growth in our Western markets. Payables were up 50% currency-neutral driven by the significantly higher sourcing volume in anticipation of the double-digit growth in H2 as well as higher product costs. Overall, average operating working capital slightly decreased 0.4 percentage points to 21% in Q2 2022 versus 21.4% in Q2 2021. This is still somewhat higher than I would like to see it, but it's something that we accept for the time being as we are prioritizing product availability over working capital optimization in the short-term. Looking at our inventory composition, you can clearly see what I mentioned before. While the situation has improved compared to the end of last year, the picture did not change so much compared to Q1 as we still have almost 40% of our goods in transit, which is significantly above normal levels. And in markets that are particularly impacted by the supply chain constraints, namely EMEA and North America, almost half of the product was still in transit. We expect the situation to improve during the remainder of the year, which should then also have a positive impact on our overall working capital picture. Before I hand back to Kasper, I would like to give you an update on the status of our shareholder return program, an important part of Own the Game. As a reminder, until 2025, we plan to return between €8 billion to €9 billion to our shareholders via dividend payments and share buybacks. This will be complemented by returns related to the proceeds from the Reebok divestiture. We already announced that we intend to return up to €3.1 billion to our shareholders in 2022. Of these €3.1 billion, we already completed €1.6 billion consisting of a regular €1 billion share buyback tranche in the first two months of the year as well as the dividend payout of €600 million in May. This is complemented by an additional share buyback program of up to €1.5 billion to return the cash proceeds from Reebok divestiture. Until today, we have already completed more than two-thirds of the total amount. Again, this share buyback comes on top of the €8 billion to €9 billion from Own the Game. The remaining amount to the €8 billion to €9 billion, namely between €4.8 billion and €5.8 billion, will be distributed to our shareholders between 2023 and 2025. This will be a combination of share buybacks of up to €3 billion and annual dividends of between 30% to 50% of our net income from continued operations. And with that, back to you, Kasper.
Kasper Rorsted: Thank you, Harm. Our focus going forward is clear. We will be leveraging exciting new product drops our collaborations with our unique portfolio of partners and key events to drive brand heat and top line growth. Against a challenging macroeconomic market backdrop, we are diligently focusing on all factors that we can control to maintain our growth momentum in Western markets and to accelerate growth in Asia-Pacific. In Greater China, we continue to decisively address the challenges on the ground, always prioritizing the creation of direct connections with the local Chinese consumer. Ultimately, we'll continue to invest into growth while thoroughly managing our cost. I just mentioned it, we have what it takes to drive excitement going forward. Sports take center stage in 2022 and just saw the incredible consumer enthusiasm around UEFAs Women's EURO. We look forward to being in the spotlight of all these big sport events still to come, culminating with the FIFA World Cup later this year. We leverage all of this to underline our commitment to loud and product storytelling. It's clearly paying off, and you'll continue to see both brand campaigns in line with our strategic growth categories. Ultimately, it all comes down to the consumer and strength of product newness we can bring to the market. We'll continue to unveil our strong product pipeline across both performance and lifestyle and are excited to now provide you key insights for the upcoming months. We just experienced an incredible UEFA Women's EURO with the three stripes at the heart of the tournament and record attendance in stadiums as well as viewership rates. Not only did we record a steady increase in demand for our jersey since the start of the matches, we also elevated brand credibility with dedicated activations in our key city women [ph]. And there's so much more to come in football in 2022. While we just launched official jerseys of our federation partners, Argentina and Mexico, there are more jerseys to be introduced in the coming weeks, including those for tournament favorites like Belgium, Spain and Germany. With European leagues returning to stadiums, we've also successfully introduced the official jerseys for unique club portfolio Juventus, Arsenal, Manchester United, Bayern and Real Madrid. In the first week of the launch alone, jersey sales increased strong double-digits, more than 40% with both Real and Bayern particularly high demand. Our official FIFA World Cup match ball, Al Rihla continues to generate strong revenues and headlines with the connected ball technology providing referees with precise real-time ball data to support fast and accurate decision-making on the pitch. Speaking about fast and accurate, we're launching the X SPEEDPORTAL, our fastest ever football boot, alongside iterations of other key franchises like Predator. To bring the boot to life for broad consumer audience, and we have teamed up with iconic animation characters, Rick and Morty, and created an original short film where the two experiment with the multiple dimensional speed power our in our boots. Shifting gear to running and training. With the launch of the adizero Adios Pro 3, we continue to deliver what matters most, wins and medals. Our prominent technical running franchises already delivered most wins during the 2021 World Major Marathons Series. Recently, adidas athletes took home 24 medals, including several gold as well as world records at the World Athletic Championship in Oregon. Our double-digit net sales growth in Q2 also reflect the strong proof point of driving credibility at the top of the pyramid while scaling our offer for everyday runners with franchises like Solar Glide or Super Nova. Apart from performance, we're also addressing the growing consumer demand for athleisure. adidas sportswear is born from sport and worn for style. Going forward, we've built on the overwhelming positive consumer feedback from the launch of the first capsule collection and will introduce additional aspirational product with a Gen Z focus. Talking lifestyle, Originals is launching the next iteration of it Always Originals collection in campaign. Right in time for back-to-school, the collection offers a wide selection of apparel pieces and updated footwear franchises such as Forum and Ester. Iconic footwear also was at the core of this week's YEEZY Day. Over the past two days, we have offered exclusive access to a variety of items. Within 48 hours, we've been dropping 26 footwear models across USA, Canada, Europe, South Korea, Japan, and Greater China. Our focused execution drove strong results with global demand significantly topping supply and our own expectations, reflecting particular strength in the North American -- in North America and Europe. And we're not stopping there when it comes to hype. Our latest premium fashion partnership with Gucci and Balenciaga continue to elevate our lifestyle offering. The Drop of the Edges and Gucci collection marked the best Membership Acquisition Day ever, and I'll confirm that while the adidas Balenciaga fashion show revealed at the New York Stock Exchange led to exceptional engagement on social media. And this is only the beginning as we expand these partnerships going forward. Stay tuned as we'll launch first footwear in collaboration with Balenciaga later this year with our D2C focus. Let me now explain how these events, products and campaigns are going to translate into acceleration of our topline in H2. In Q1, markets representing more than 70% of our business grew 13% on the back of a strong brand momentum. That's our Western markets, EMEA, North America, and Latin America. In Q2, our market growth even increased with the return to growth in Asia-Pacific and continued strong growth in Western markets. More than 85% of our business grew 14% despite all of the macroeconomic challenges we are confronted with. The performance also defines our focus for the next couple of weeks and months, driving continued momentum in more than 85% of our markets. We'll fuel brand heat through inclusive and emotional storytelling across all categories and leverage the excitement around major sport events and performance. In lifestyle, hype scale remains in focus with more to come from fashion partnerships as well as exciting original product drops. At the same time, we'll launch and scale new consumer propositions in sportswear and basketball. To drive conversion with our most valuable consumers, we are scaling adiClub with new member proposition and elevate the consumer experience in key cities. In addition, our improved profit offering will significantly increase our market share with key alliance accounts across all these markets. In contrast, Greater China represents less than 15% of our business is unfortunately still affected by continued widespread COVID-19-related restrictions. Against this negative market backdrop, we implement initiatives to clear excess inventory through factory outlets and commercial moments. Simultaneously, we strengthened connections with a local Chinese consumer wherever possible both physical and digital. So let's have a closer look at China. While I called out the continued challenging market backdrop in Greater China before, let me now provide you with some key facts on what this actually means. The emergence of COVID-19 cases took a new dynamic recently with an average daily in new COVID cases more than doubling in July versus June 2022. Consequently, around 80 cities are at least partially impacted by lockdowns. In general, the zero COVID policy remains in place with strict and preventive measures across the entire retail landscape. As a result, we are still seeing very cautious consumer behavior due to the ongoing volatile situation in imminent risk of new lockdowns. Taking all of these considerations into account, own retail traffic remains well below normal levels, as you can see from the data displayed on the right hand side. After seeing trends somewhat improved in June compared to the month before, own retail traffic actually worsened again in July, still being down 21% year-over-year, which is also indicative for the trend development in franchise stores. At our Q1 results released back in May, we had called out several forward-looking assumptions regarding the business development in Greater China. As of today, we have to acknowledge that at least two are violated due to the negative influence of the external factors discussed. First, we are seeing at least partial lockdowns in major cities as of Q3. Second, own retail traffic is still well below normal levels. Overall, you can see the challenges remain severe, and we keep on diligently focusing on the things that we can control together with our strong team on the ground. Our focus initiatives we are currently actively driving is the clearance of excess inventory in this market in the second half of the year. We want to assure a clean full-price channel to bring our strong H2 product pipeline to life. To be more precise, this means the following: first, we're taking back slow-moving excessive inventory to fulfill the demand in our factory outlet. That says, please keep in mind that we've already completely stopped our factory outlet specific product buys before. Second, we are leveraging the big commercial moments in the second half of the year to clean our product. While events like the general seasonal promotion like 9 9 or Singles Day are generally in focus, these will be complemented by our own promotional sales event such as the Yeti fest. Third, we're setting up additional temporary outlets in lower-tier cities in light of healthy price sensitivities and demand for our products we are experiencing here. Overall, we expect to see a negative top line impact from inventory take back in the magnitude of around €400 million in the second half of the year, which, of course, fully reflected in our adjusted guidance. As mentioned before, these initiatives to clear inventory masked the significantly better sellout of our products, which is best reflected in the DTC decline of only 18%, which was half of the 35% we posted for the Chinese business as a whole. Another focus for our team in China is to strengthen connections with a local Chinese consumer wherever possible both physically and digitally. The Q2 e-com growth of plus 12% is prove that our brand still resonates whenever we are in a position to directly engage with our consumers, particularly through local storytelling and new China for China product drops. We're rebuilding our brand portfolio for the continued timing of Chinese athlete and small-scale cultural partners. At the same time, we leverage existing and new global brand partners for China such as the Korean -- or South Korean Group BLACKPINK. We're securing a top position of localized lifestyle footwear like Adimatic. On top, we doubled down on women's with an integrated assortment plan and win the kids and youth segment with an upgraded retail concept. Third, we leverage investments in our China for China digital capabilities to support our local e-com acceleration. One example is the recent launch of the X SPEEDPORTAL portal franchise, which we promoted through a live stream event at T Mobile with several local football players as well as global icons, Messy and Kaka. Similarly, we continue to invest and activate the brand wherever possible to maximize consumer engagements. This includes creating our new -- this includes creating new or leveraging existing events such as adifest or the T Mobile Super [indiscernible] Day. To make it clear, we drive local brand activation and host physical events wherever the situation on the ground allows. As a title sponsor of the Chun Lee 168 Ulsa [ph] Race, for example, we hosted a remarkable event to showcase the best areas vis-à-vis more than 10,000 registered participants. Through events like these, we show a commitment to China and the Chinese consumer. We continue to be optimistic about our brand and long-term industry growth prospects in Greater China, and we're ready to accelerate as soon as the environment allows us to operate without major disruption again. And now let me hand over to Harm again to provide you with an overview of our topline development in H2 before I end this presentation with our adjusted 2022 outlook. Harm, over to you.
Harm Ohlmeyer: Thank you, Kasper. The initiatives Kasper just talked about in each of the markets will help us drive a significant top line acceleration in the second half of the year. Based on the strong momentum experienced in H1, already, we expect growth in H2 to accelerate in North America and EMEA, while remaining at an exceptional level in Latin America. In addition, Asia-Pacific will continue its positive top line trajectory and is expected to grow double digit in H2 after still being down minus 7 in H1. In Greater China, while still down, we expect a double-digit net sales decline for the second half of the year, which will still represent an improvement versus the first half. Taking everything I just said into consideration, this means that markets representing more than 85% of the business are each expected to grow strong double-digits in the second half of the year. Let me now elaborate what the expected H2 topline development looks like from a total company perspective. To apply the same view as before, let's first have a look at our H1 net sales. Our topline came in flat versus the prior year, while growing plus 11% excluding Greater China. Please keep in mind that we still saw a significant negative drag of around €600 million from supply chain constraints in the first half of the year, €400 million in Q1 and €200 million in Q2. In the second half, we do not expect a major impact from supply chain constraints anymore. This will support the acceleration that we expect in H2 where, on a company level, we expect double-digit increases, while net sales are expected to be up at least mid-teens, excluding Greater China. You just heard me. Excluding Greater China, we continue to expect at least mid-teens revenue growth in the second half of the year based on four key growth drivers. First, our comprehensive product pipeline, which you saw our innovation day back in March. Kasper just elaborated on the Q3 highlights, and there's more to come in Q4, including the much anticipated launch of our new basketball offering with Jerry Lorenzo. We will bring this pipeline to life with bold brand storytelling and the support of major events. Second, the FIFA World Cup. We expect a tailwind of up to €400 million event-related net sales. While sell-in, of course, plays a role, we expect the majority of this benefit to occur in Q4 as we fully leverage our DTC channel. Third, we are making use of the restocking opportunity with strategic wholesale partners such as JD Sports, Dicks and Foot Locker. And last, from a more technical side, we are comping around €1 billion of external headwinds in the prior year period, in particular, COVID-19-related lockdowns in Asia-Pacific and industry-wide supply chain constraints. The non-recurrence of these events will also act as a tailwind to our top line acceleration in the months to come. All of this is supported by an extraordinarily strong order book. We continue to see broad-based order book strength across North America, EMEA, Latin America and Asia-Pacific. It is up more than 25% in H2, reflecting continued strong market share gains within our alliance accounts. While we haven't seen major order cancellations so far, our adjusted guidance already assumes a lower order book conversion in the second half as a result of a potential slowdown in consumer spending. We will also continue to elevate the experience in DTC across all consumer touch points. We doubled down on e-com and enhanced retail to drive traffic and conversion both in our Halo stores as well as the overall brick-and-mortar fleet. This includes digital investments focused on personalization and the footwear category. To round up the experience, we and leverage our revamped membership program, adiClub with new reward systems and Money Can't Buy access for our most loyal consumers. This brings me to our adjusted outlook by market for the full year 2022. Given the continued widespread COVID-19-related restrictions, we now expect revenues in Greater China to decline double-digits. While we have not experienced a meaningful slowdown in sell-through in any other markets, we think it is prudent to take a conservative view on the consumer in light of the current macroeconomic challenges. As a result, our adjusted guidance also accounts for a potential slowdown of consumer spending in these markets during the second half of the year. On the one hand, this downside risk is directly reflected in our adjusted outlook for EMEA and Asia-Pacific. In EMEA, we now expect low teens growth for the full year, while APAC is expected to post high single-digit growth. On the other hand, and despite us taking a more cautious view on our business development in H2, we have even increased our guidance for North America and Latin America, reflecting the better-than-expected momentum in these markets. For North America, we now expect high-teens growth, while Latin America is expected to grow between 30% and 40%. As you can see, we expect markets representing more than 85% of the business to grow strong double-digits in 2022, which clearly shows that our strategy is working. And with that, back over to you, Kasper.
Kasper Rorsted: Thank you, Harm. Let me now give you the complete picture on our adjusted outlook for the full year 2022. We now expect mid- to high single-digit top line growth for the company. And as you've just heard from Harm, this reflects a slower-than-expected recovery in China as well as headwinds from a potential slowdown in other markets. To be precise, at the lower end of our top line guidance, roughly 50% of the adjustment is related to China. The remainder is related to a potential slowdown in other markets, which we've not seen so far. The gross margin is now expected to be around 49.0% in 2022, mainly reflecting a less favorable market mix due to the lower-than-expected revenues in Greater China as well as the impact from our initiative to clear excess inventory in this market. In addition, this expectation reflects higher discounting in other markets should the risk of a potential slowdown in consumer spending materialize. Our operating margin is now forecasted to be around 7.0% in 2022 as a result of the lower gross margin as well as continued investment into the launch of new products, brand storytelling and digital. Consequently, net income from continued operation is now expected to reach a level of around €1.3 billion. This brings me to our adjusted outlook by market for the full year. Given the continued widespread -- excuse me. Before I conclude the presentation, let me call out that we stay focused on what we can control. We're going after long-term opportunities in an environment, which is currently characterized by severe external challenges. We're operating in a growth industry and continue to see multiple consumer trends, we directly cater to at leisure betterment digital, sustainability and premium. All of these are here to stay or even expected to accelerate in the long-term. You can expect us to maximize opportunities in this attractive backdrop all supported by a more balanced top and bottom-line contribution across markets and making us less exposed to local challenges. Again, we are growing double digit in more than 85% of the business, which means we are very ready to accelerate as soon as all markets can operate without major disruptions again. To sum it up, the launch of innovative products drove continued strong demand in our Western markets and a return to growth in APAC in Q2. With multiple growth drivers in place to accelerate our topline momentum in the second half of the year and lower in our adjusted 2022 targets. In Greater China, our focus is on executing initiatives to clear excess inventory while strengthening consumer connections. And lastly, we are thoroughly managing industry-wide challenges in the short-term, while going after long-term opportunities. With this, Harm and I will be happy to take your questions.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] First question is from the line of Grace Smalley from JPMorgan.
Grace Smalley: Hi, thank you very much. My first question would just be on gross margin, please. I know clearly, it's too early to give specific guidance on gross margin in 2023. But in in gross margin this year, it'd be really helpful if you could help us understand directionally the headwinds and tailwinds you expect to face next year, and in particular, what levers you have to potentially offset currency pressure as you move into 2023. And then my second question would just be on the EMEA growth you saw this quarter. I think at the time of your Q1 results, you had said that you expected EMEA growth to accelerate in Q2 despite the headwinds that you knew at the time from Russia and supply chain. So just perhaps you could help us understand what changed in Europe in Q2 relative to your initial expectations a few months ago? Thank you very much.
Harm Ohlmeyer: Well, first, Grace, on the gross margin. Of course, it's definitely too early to talk about 2023, but we understand the uncertainties about the consumer and development and input of supply chain costs as well as exchange rates. Again, gross margin will indeed be challenged, given the headwinds that we have on the FX right now with almost parity as the dollar. But of course, we can do a lot of things, growing our DTC business, working through our ranges. So again, there's a lot of puts and takes. But given where we are right now, it's definitely way too early to talk about 2023. And again, the guidance will be given in March 2023.
Kasper Rorsted: So on the acceleration of our business in EMEA, it did accelerate, excluding Russia, from 10% to 13%. As you remember, the Russian crisis or war started on the 24th of February. That meant you had half impact in the first quarter or first year, full impact in the second. So the underlying growth grew from 10% to 13%.
Grace Smalley: Thank you.
Operator: Next question is from the line of Graham Renwick from Berenberg. Please go ahead.
Graham Renwick: Hi, good afternoon, everyone. Thanks for taking my questions. Just firstly, just wondering how we should think about supply and demand into 2023 in Western markets. You're acknowledging that there could be some softer demand towards the end of the year and that there'll possibly be some additional discounting across the second half, which is all reflected in your new 2022 guidance. But as we go into 2023 with macro possibly weakening further, how flexible are you in terms of supply to be able to deliver on the opportunities next year in an upside scenario but also react quickly should demand continue to slow, and we possibly have too much stock in the channel that needs further discounting next year? And then the second question on China. It looks like China sales are running about 40% below 2019 levels. It feels like you're a bit more confident that the BCI issues have faded, and it's now largely just the lockdowns that's disrupting the business. Appreciate there's a lot of uncertainty on when zero COVID will end and when we can expect to see a more normalized environment in China. But when COVID-driven disruption does completely end, is there any reason why the China business can't quickly rebound to 2019 levels again, which I think is quite important to hit the mid-term sales margin targets, or do you think there's been a sort of structural rebasing of the China business perhaps as local brands have taken a bit more share, and therefore, we should expect a more progressive recovery in China once restrictions are gone? Thank you.
Harm Ohlmeyer: Yes. Graham, thanks for your question. I'll take on the first on supply and demand. And of course, as we -- as you heard in our guidance, we have reflected some potential softness in the Western markets. So that's directly in our guidance for fall/winter 2022. And going to next year, we are coming back to our Innovation Day. We have shown a strong product pipeline that is not just hitting fall/winter 2022, but also spring/summer 2023. And of course, we are using our speed capabilities and the higher share of DTC to react no later to what we need to buy, and that's how we look at 2023. But again, it starts with understanding what the potential softness could be in fall/winter 2022, reacting already buy for spring summer 2023 and having also selective products that we can carry over, as we always do, going into 2023 and buy less of this, but making sure that we have newness in the product that you are seeing at our Innovation Day, and that's what we're driving to it, and using our capabilities in our DTC channel that is getting bigger every season. That's really the answer to the supply and demand.
Kasper Rorsted: And Graham, to your question regarding BCI and underlying demand. I think if I were to characterize it, we believe that the COVID is a much more severe impact on the business right now than BCI. And the reason why we do that is, as we reported, we are growing our online business by 12%. So, you can see there is an underlying demand for our product. And the primary issue right now we have is traffic in store because had it been the reverse, we wouldn't have been able to grow our online business. So, we believe that the majority of constrained resides in COVID and not in BCI. And that's why we could do the 12%.
Graham Renwick: Thank you.
Operator: Next question is from the line of Aneesha Sherman from Bernstein. Please go ahead.
Aneesha Sherman: Hi, thanks for taking my questions. I have two, please. So the first one is on North America and just on the guidance raise for the fiscal year. Can you comment on whether the raise in fiscal year guidance is purely a result of the Q2 performance, or in other words, have your H2 numbers stayed constant in your plan, or have you taken up H2 numbers in your plan? And if H2 numbers are up, then what's improved in your plan now versus kind of what you saw last quarter? And then my second question is on overhead. So the deleverage on overheads that you saw in growth markets like EMEA and North America, I appreciate some of this was currency-driven. But can you comment on a currency-neutral basis, did you see leverage in these markets? And are you expecting to see elevated overheads going into next year as well from all the investments you're doing into DTC and scale? Thank you.
Harm Ohlmeyer: All right. Thanks, Aneesha. First, on the North America guidance. Of course, we had a really good performance in the second quarter. And we are basing our guidance based on the performance within the first half, but also the order books that we have in the second half. But unlike what you have stated, I mean, we're even more cautious based on what we're seeing in the second half that there could be a potential consumer slowdown. So, that's really baked into the guidance. On the operating overheads, you're absolutely right. We had deleverage in the first half some with currency. And of course, we are investing into the market. Especially in China, you can't leverage if you have such a drop in the net sales. But we also, as part of our own the game strategy, invested significantly into tech investments, whether it's S/4 HANA, whether it's data analytics, data scientists. We invested into sustainability. We invested -- continue to invest into D2C, whether it's the physical retail fleet and our e-commerce business. And of course, we had some onetime items linked to CIS and Russia as well. So, you should expect that we have a continuation of investment in the second half, but should also expect that we are moving into a leverage scenario in the next year because we need to look at the company as a whole. And with the drop that we have in China, of course, some of these will be reflected in China in the market because we have more time to rec to what the size will be in the future in China and there will be other initiatives where we kind of pre-invested according to our strategy. So, we definitely should expect going with leverage assumptions into next year.
Aneesha Sherman: Thank you.
Operator: Next question is from the line of Cedric Lecasble from Stifel. Please go ahead.
Cédric Lecasble: Yes, thank you for taking my questions. I have two also, if I may. So, first one on the [indiscernible] in China, could you maybe elaborate a little bit, explaining to us what level, what magnitude of excess inventory you have, what could be the intensity of the promotional activity there, the lens and the financial impact on your second half results? That's number one. And the second one, I would be interested in your thoughts about the inventory situation in the US. You had a fantastic performance in the US. What's your overall inventory situation in the market? And how do you see the back-to-school period? There were some a little more cautious comments in the market about this period. How do you see it coming? Thank you very much.
Kasper Rorsted: I will take the North American question, and Harm will take the China question. We have very healthy inventory levels in the US, and we continue to see strong growth. And right now, you've not heard from us at least any, I would say, cautionary remarks about back-to-school. So we still expect very healthy performance in the US, as indicated in our guidance. So -- and as I said, we're not over stocked by any means. We're still having very healthy inventories at all levels.
Harm Ohlmeyer: Yes. And in China, as we mentioned earlier, we are planning to take back around €400 million of product from our retailers. So again, that is the reversal of the net sales in the second half. That is something we're going to clear then, not just in the second half, but over the next couple of quarters. And of course, we have an inventory situation given the lockdowns already at the end of June, as you saw in our results here as well. So again, both of it is baked into our guidance for China as well and for the company overall. But again, to repeat, it's €400 million take back that is, in fact, in our net sales as a reversal.
Cedric Lecasble: And the take back, excuse me, if I may, it would be exclusively to the Chinese regions, or will you try to ship -- yes, exclusively China, China, China?
Harm Ohlmeyer: China, China.
Cedric Lecasble: Okay. Thank you.
Operator: Next question is from the line of Jurgen Kolb from Kepler Cheuvreux. Please go ahead.
Jurgen Kolb: Thank you very much. Two questions also from my side. In the current year and maybe also 2023, can you maybe share with us a number or a broad range of the sales share that you expect from newly issued products? Is that going to be higher this year than -- next year than in the past with all the products that you've shown to us during the Capital Market Day? That's the first one. And the second one is on China again. You indicated traffic was down. Maybe some additional comments in terms of conversion rates and average basket that you've seen in the Chinese market to maybe get some indication about the status of the Chinese consumer. Thank you.
Kasper Rorsted: So of course, we believe right now we have a better product line -- better product pipeline than we had in the past couple of years. And I think, Jurgen, that is also what you saw here. So we don't give -- we don't quantify the number. But of course, we believe that the growth is going to come from our product pipeline. And the consequence of that is that you are expecting more growth from new products, whether it's in basketball, lifestyle, sportswear, et cetera. So it is driven, of course, by new product introductions very much based on what you saw. And if you look upon China, we saw our revenue in wholesale in July. Our revenues in wholesale and DTC continue to differ significantly given the decision to take our inventories back from our franchise partners. Sellout in July was below our expectations as formerly back in May, given the slower-than-expected recovery of traffic. However, we still saw DTC business improving significantly in July versus the minus 18% in Q2. So you are seeing, again -- and that goes back to there is a demand for the product. So the consumer-related business continues to improve in China. And right now, it is -- it's inventory and traffic that we have as an issue.
Jurgen Kolb: Okay. Good. Thank you.
Operator: Next question is from the line of Zuzanna Pusz from UBS. Please go ahead.
Zuzanna Pusz: Good afternoon. Thank you for taking my questions. I'll stick to two. So maybe first question on your mid-term outlook. You've changed your outlook for 2022, and I think it's been very well explained what has driven that, but it sounds like you're still sticking to your 2025 outlook. So can you maybe share with us kind of what assumptions are behind that? I know we still have, let's say, three years ahead of us. But given that we're in a less certain macro environment and the fact that the industry has historically grown at roughly twice the global GDP, I guess, we're all wondering what if next year ends up being a bit weaker, what levers will you have sort of in place in order to make sure that you can deliver on that midterm outlook? So, that's my first question. And secondly, I think you've mentioned a few times during the presentation the really impressive growth across all of the performance business. Can you just maybe share with us what's been the performance in the lifestyle business? Just to get an idea of what has been the split of lifestyle versus performance within that 4% revenue growth in Q2. Thank you.
Kasper Rorsted: Harm will take the second. And we really remain focused on executing our Own the Game strategy. And I would say we still have three and a half years to go, and you can see 85% of our business is performing extremely well. But should the underlying assumptions change permanently, we will provide you with an update. But right now, we're doubling -- we're growing double-digit. As I said, 85% of our businesses, which means we are already accelerate -- we're ready to accelerate as soon as all markets can operate without major disruptions. So, I think that is where we are at this stage. And there's three and a half years to go, We'll look upon whether the assumptions change. And when they do, of course, we'll update you. But right now, I think the most important part is getting 2022 behind us in the best possible way. That means protecting the growth rate in the 85% and doing whatever it takes to make sure that we build a foundation for growth in China because that is really right now the constrainer for us. And with this, I'll hand over to Harm on the Originals question.
Harm Ohlmeyer: Yes. I want to start, and Sebastian probably continue on this one. First and foremost, as we mentioned earlier, Zuzanna, in football, running and outdoor in the second quarter, and then Sebastian can elaborate on the Originals sides.
Sebastian Steffen: Yes. So on the Originals side, we also continue to see strong growth -- high single-digit for Originals overall. And Kasper already mentioned in his prepared remarks that also in North America, we see a very balanced growth actually between performance and the lifestyle side of things, with lifestyle growing 19% and performance growing above 20%. Just -- so just equally like we're seeing a very balanced growth trajectory from a channel perspective in North America. We're also seeing it from a lifestyle and performance perspective.
Zuzanna Pusz: Thank you very much. Just to clarify. So -- but when you talk about the double-digit growth in performance and high single-digit in lifestyle, because that doesn't necessarily add up to the 4% you saw. So when you talk about these figures, is it excluding China? And then we get to that 14% growth you see in Western markets? How should I refer it, or maybe one of the categories is down significantly.
Sebastian Steffen: So, let me clarify that. So, what I referenced to was 19% growth in lifestyle and 23% growth in performance in North America. For the company as a whole, we've seen high single-digit in Originals. We've seen strong growth in certain performance categories like football, running and outdoor, and others haven't been performing as well. And that's how you get to the 4% for the company.
Zuzanna Pusz: Excellent. Thank you.
Operator: Next question is from the line of James Grzinic from Jefferies International. Please go ahead.
James Grzinic: Yes, good afternoon everybody. Just two quick ones, really. The first one is, can you perhaps help us understand what China margin underpins that around 7% group margin expectation for this year? And secondly, can you perhaps give us some context in terms of -- particularly on DTC in North America, what the average selling price has done in Q2? And what's happened to the full price sales ratio, please? Thank you.
Harm Ohlmeyer: For the second one, on DTC, North America, of course, ASPs are up, and we saw good full price sell-through in the first half, I mean, given the constraints that we sell out on the inventory availability. So -- but we're not going to go any more details than that, but the ASPs, similar to the rest of the company, have been significantly up in North America. I didn't really get your first question on China.
James Grzinic: What China margin assumption you make to underpin that around 7% group margin assumption for the year?
Harm Ohlmeyer: Well, you have seen what we have delivered in the first half, right? So let's assume the profitability is still driven by the 85% of the business that is growing double-digit and delivers, as you have seen in the second quarter, more than 20% profitability, and that is balancing what we expect in China. But you shouldn't expect a rebound in China to previous levels. So the first half is a good indication what ultimately will happen in the second half from a profitability point of view.
James Grzinic: Great. Thank you.
Operator: Next question is from the line of Thomas Chauvet from Citi Research. Please go ahead.
Thomas Chauvet: Good afternoon. My first question on pricing. You've passed on significant price increases in the second half at the time you have to – to clear excess inventories in China and possibly other markets, as you said. How do you think about how this might impact your brand image in both China and Western markets at the time you're trying to elevate the brand, in particular? Secondly, on Slide 17 with the gross margin bridge, you had a strong tailwind from pricing with selective price increases and lower discounting. How does that compare to your expectations in the second half where you have much higher price increases but also higher promotional activity? And just a clarification on the World Cup impact, which is one of your building blocks of growth in the second half. You mentioned a €400 million tailwind in -- mostly in the fourth quarter. How does that compare to, say, the last World Cup, 2018? Thank you.
Kasper Rorsted: So before I go to pricing, I think the important part to see in our P&L was that our investment in brand has gone significantly up this year and much higher than our overall revenue. So that means we continue to invest to protect our brand. From an inventory standpoint, you have to separate the world again in two, you have excess inventory in China and you have very balanced or inventory and the other one. So the clearing that you're speaking about is predominantly a China issue. It is not the rest of the world issue. And that's why we actually don't think it has globally any impact because we continue to sign up new athletes, spend a lot of money on our brand. And in China, we are in a very similar position to the rest of our industry. So I think the important part is that it's two different scenarios. One is excess, the other one is not. And secondly, we have not saved our spending on marketing. Marketing is outgrowing our top line, which is, of course, why you have a more muted bottom line. So we're doing that to certainly we protect the brand. And maybe thirdly is we also think a lot of brand equities coming through new products. And we are seeing new products resonating extremely well, particularly on the performance side, but also now on the high end with Gucci, Prada and Fear of God coming out by the end of the year.
Harm Ohlmeyer: Yes. On the pricing, of course, the first look, I would say, if you have more broad-based pricing in the second half with mid- to high single digit that we should have a bigger impact on this one. But you're absolutely right, we're executing that pricing to mid- to high single digits. On the other hand, we have to deal with the China situation and clearing some of the inventory, which will be a reduction in gross margin. And of course, in our guidance, we also assume some softness in the other markets and expect there's some promotion coming back in the second half in the bigger Western markets, whether it's North America and Western Europe. That's why it's counterbalancing the price increase that we have. But it's still important that we get the price increases into the market with the new products and then be selective where we need to clear some inventory. And secondly, you had the question on the World Cup, how it compares to the 2018 World Cup. We would say it's probably on a similar level, but it's more comprised from a time period because it's a Winter World Cup right now. So, we have a different launch cadence, and everything is more comprised in the shorter period. In the past, we always had a longer period to prepare for World Cup. So that's the only difference. But the magnitude for the full year would be similar, but it's more pronounced in the second half compared to previous World Cups.
Sebastian Steffen: And maybe just to give you a feeling for that, Thomas. Usually, when there's a World Cup in the summertime, we would launch the first jerseys in November, the year before. So, you would already have a significant impact in the year preceding the event. Now, we're actually about to launch all the jerseys that we did and have done so at the beginning of this quarter in Latin America. So, a much more condensed topline impact than we would usually have.
Thomas Chauvet: Thank you. And who is your favorite to win the competition and exceed maybe from 2018?
Kasper Rorsted: As long as France and England doesn't win, we're pretty open. No, we're -- of course, as a German company, I think we back our host country, Germany, which is our oldest--
Sebastian Steffen: Thanks for the question.
Thomas Chauvet: Best of luck for the competition.
Kasper Rorsted: Thanks Thomas.
Operator: Next question is from the line of John Kernan from Cowen. Please go ahead.
John Kernan: Excellent. Thanks for taking my question. When we look at China, there's obviously been a lot of questions on the margin profile. Historically, this has been an incredibly profitable business for adidas. And I would imagine the trough is occurring in the back half of this year as you take back inventory and the market gets back to a more full price environment. What does the long-term margin structure of the business in China look like as sales recover and the inventory position of adidas and your competitors improved?
Harm Ohlmeyer: Well, assuming there's no second question, so I answer the -- all the questions now. No, we honestly believe -- as we said earlier, we believe into the midterm potential of the Chinese market. And we always said, we're not going to stay at a 35% margin that we had in 2018, 2019. We always said over time, it becomes a more competitive market. It's more about comp growth. Of course, we had some challenges in between. But we believe there's an opportunity to go back to around 30% profitability in China because the market still benefits from marketing and other and clubs, in the rest of the world from influencers in the rest of the world, and we are in the sourcing region. And that's why we always said it's more attractive to do business in China than other markets. And so if you model it, around 30% is definitely a good assumption that we can go back to that in the midterm.
John Kernan: Excellent. And maybe just one more quick follow-up. It looks like the promotional environment in North America, particularly in apparel, has increased recently around back-to-school. Some of your peers have fairly heavy levels of inventory on the balance sheet. I'm just curious if you've seen any changes in the promotional environment in North America around -- particularly around apparel and your anticipation as we get into holiday around the promotional environment in North America?
Kasper Rorsted: No, we've not seen any significant difference. And you can look about our margin in North America, which remains very, very healthy. So right now, that's not the case. Of course, you will eventually get into promotional periods, but that is not related to this year. This is related to every year, and I think that's how you see it. But right now, we've not seen any significant change in that. So no -- the answer is no. we think that -- but we -- of course, you will get the normal promotional environment probably following back-to-school, which is very normal. But I think the most important part is really looking upon the operational margin in North America, where that has stabilized around that shows that we've been capable of reaching a business size and also an overall margin of footwear and apparel, which is attractive.
John Kernan: Thank you.
Sebastian Steffen: Thanks, John. And Stuart, we have time for two more questions please.
Operator: Okay. Thank you, Seb. The next question is from Warwick Okines from BNP Paribas Exane. Please go ahead.
Warwick Okines: Yes. Thanks very much. Two quick ones, actually. Just following up on that last question. I think you are planning or assuming that the business, I think, has additional promotional activity in Western markets in the second half of the year, and then how do you see those – those risks split between apparel compared within footwear? And then secondly, could you just confirm that you're still on track for about €900 million of CapEx this year, please? Thank you.
Harm Ohlmeyer: Well, thanks, Warwick. First, yes, we reflected that in our guidance because we're expecting some more muted consumer confidence in the second half. Again, we haven't seen it, as Kasper just said. But I guess it could happen after back-to-school on the fourth quarter. And as you always know, it might be more in apparel than footwear because footwear is always a more differentiated offer. So that will be the assumption. But also that it's too early to tell. But historically, it would fit or it would hit apparel always more than footwear because we have a more differentiated offer, and this is where we can build really the franchise and have the innovation more so than in apparel. So that's what you should expect. On the CapEx, we changed our direction there slightly because we need to look at -- given the challenge that we have in China, we also look at our CapEx profile overall and react to this one. Now we moved from around €900 million to up to €700 million in CapEx for the fiscal year 2022.
Warwick Okines: Thank you very much.
Operator: The last question for today will be from the line of David Roux from BofA. Please go ahead.
David Roux: Okay. Thanks for taking my questions. I had two follow-up questions just on new products and then China. So firstly, in terms of the timing of new product launches for lifestyle in the second half, has this timing changed at all since your last set of results? And then do you expect the bulk of the new product to hit in 3Q or 4Q? And then my second question is on China, just referencing Slide 37. We've seen a few examples of other sort of international consumer brands, noting that July was either stable or sequentially improving in July. I'm just trying to understand why adidas was different. Could you perhaps just give me some reason as to why July was different from some of your international -- your wider consumer peers? Thanks very much.
Kasper Rorsted: So for obvious reasons, I can't really comment on other consumer peers, but what we did say is that we did see that our DTC business improved significantly in July versus the 18% that we saw in the second quarter. So I think that's the best indicator. So I can't say what other ones are doing. So we are seeing that. But of course, we saw -- if you go back sequentially, we saw a overall traffic for the second quarter had a very different running where it was very low in April and May, then improved in June and then it deteriorated in July. But overall, we say our DTC business significantly improved in July versus the run rate of the second quarter. On the apparel launches, we don't -- we might be a we're still -- that's related in the guidance that we have. The only thing that is still -- there is no impact from our manufacturing plants. They're up and running, and there is no impact from that. What you still see is shipping time still remains a challenge, I think, for everyone and also the rate. So that's it.
David Roux: Thanks guys. And just a follow-up on July in China, that minus 21%. What was the impact, if any, from take-backs?
Sebastian Steffen: So, let me clarify that, David. Minus 21% is just the traffic, right? That is the traffic in our own stores. And what you can see is that actually, we had initially expected that the trend that we saw between May and June, which is a significant improvement in the traffic, would continue into July, which unfortunately, given the increase in COVID cases, we didn't see. And we actually saw a deterioration in the traffic to the minus 21% that you see on the chart that you've been referring to. But as Kasper has mentioned, the overall business development in our own D2C business improved significantly in July compared to the minus 18% that we posted for D2C in Q2. And then clearly, on the wholesale side of things, you would have seen development that is worse than that because it would reflect also our initiatives to take products back and clear it through our own channels and support our franchise partners. I hope that clarifies.
David Roux: Yes that does. Thanks very much.
Sebastian Steffen: All right. Thanks very much. David, Thanks very much, Stuart. And most importantly, thanks very much, Kasper and Harm. This concludes our call for our second quarter results. As always, if you have any further questions either this afternoon or over the next couple of days and weeks, there's going to be someone available in the IR team. We're also looking forward to being in touch with you over the next couple of weeks during our physical and virtual roadshows. And with that, thanks very much again. Have a good remainder of the day. And for those of you who haven't had it, have a lovely summer break. All the best. Bye, bye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Good bye.